Operator: Good afternoon, ladies and gentlemen, and welcome to the Beacon Roofing Supply's Third Quarter 2017 Earnings Conference Call. My name is Sonia and I will be your coordinator for today. At this time, all participants are in listen-only mode. We will be conducting a question-and-answer session toward the end of the conference. At that time, I will give you instructions on how to ask a question. As a reminder, this conference call is being recorded for replay purposes. This call will contain forward-looking statements, including statements about its plans and objectives and future economic performance. Forward-looking statements are only predictions and are subject to a number of risks and uncertainties. Therefore, actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including but not limited to those set forth in the Risk Factor section of the company's latest Form 10-K. These forward-looking statements fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events and the future financial performance of the company, including the company's financial outlook. The forward-looking statements contained in the call are based on information as of today, August 2, 2017, and, except as required by law, the company undertakes no obligation to update or revise any of these forward-looking statements. Finally, this call will contain references to certain non-GAAP measures. The reconciliation of these non-GAAP measures is set forth in today's press release. The company has posted a summary financial slide presentation on the Investors section of its website under Events and Presentations that will be referenced during management's review of the financial results. On the call today for Beacon Roofing Supply will be Mr. Paul Isabella, President and CEO; and Mr. Joe Nowicki, Executive Vice President and Chief Financial Officer. I would now like to turn the call over to Mr. Paul Isabella, President and CEO. Please proceed, Mr. Isabella.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Thank you. Good afternoon, and welcome to our third quarter 2017 earnings call. During today's call, we will provide a detailed review of our quarterly results and current industry trends, review Beacon's operational and strategic plans and update our expectations for the full year. We believe our third-quarter results were very solid. We achieved record sales, record adjusted EPS and record adjusted EBITDA in the quarter. In addition, we had strong sequential gross margin improvement and also stable gross margins versus Q3 of 2016. Our market pricing improved sequentially and was also flat year-over-year. This is very good news and in the direction we have been forecasting. As a result, we are seeing positive price in some of our markets. Operating cost performance was also positive, providing beneficial leverage. This is an indication of our ability to effectively control costs. In addition, as mentioned on our last earnings call, during the quarter, we closed on the purchase of Lowry's, a premier California-based waterproofing company with 11 branches across four states. Sales growth for the quarter ended at 5.3%, with organic growth coming in at 2.2%, which was slightly below our expectations. We saw challenging year-over-year comparisons. Last year, Q3, we had an organic growth of 9%, increased rainfall in the Eastern United States and the demand impact of having a second consecutive mild winter across Northern markets. While these short-term external factors impacted sales, we remain very pleased with the overall results and execution of our team and remain very bullish on the continued growth of organic sales. It is also worth noting as we have talked about for many quarters, roofing has a very high R&R content, 80%, and as our business is impacted by weather in any month or any quarter, that work does not go away. It is deferred. Might not all come back in the next month or even in the next quarter but for the most part, it will come back. All you have to do is look at the variability of our organic growth rates quarter-to-quarter based on season and weather events and you can see this. In addition, we are encouraged by the positive direction of pricing in our industry as well as Beacon's disciplined approach within those local markets where pricing behavior continues to be competitive. A few facts; our positive Q3 organic sales represents the fifth year in a row where third quarter organic sales was positive; in fact, since 2013, we have had positive organic growth each year during Q3 and Q4. This demonstrates the consistency of our growth in the spring, summer quarters which typically have less of the harsh weather that can create dramatic shifts in the available work days. In addition, our strategic growth initiatives, a favorable residential backdrop and a stable to modest expansion of core reroofing demand are helping to provide greater consistency with our results. Residential roofing produced organic sales growth of 5.5% in the quarter. This segment has grown in 17 of the past 18 quarters. This is very solid, consistent results. As a comparison, last year in Q3, residential organic sales were up 13.2%, so a nice gain above that gain. Complementary products delivered our strongest sales growth in the quarter at 6.3%. Complementary products performance was broad-based geographically and is the result of our increased focus in the category. Growing our complementary business remains a key strategic focus area for the future both organically and through acquisitions. Four of our five fiscal 2017 acquisitions have strong complementary sales. Our organic complementary products growth is also being boosted by a strong market for single-family home construction, an important economic driver for this category. The positive performance posted by our two residential oriented businesses was partially offset by a 5.3% sales decline in commercial roofing. Importantly, each of our underperforming commercial segments we discussed during the last call, the Midwest, West Coast and Northeast returned to positive growth in Q3. However, we saw pockets of softness emerge in other geographies. There are a number of reasons for this. The commercial roofing market has seen more heightened competitive pricing pressures of late than in our other two categories. And this segment was also impacted by all the wet weather we saw in our typically strong commercial regions. This deferred work I referred to. In addition, certain large jobs from previous quarters didn't repeat. As we've said in the past, the commercial segment is a very important piece of our overall business and we will continue to stay focused on driving profitable sales. As we are now past the most challenging year-to-year comparisons, we expect to enter a period of positive growth for commercial roofing with gains in the low to mid-single digits, a level consistent with our long-term plan. On a geographic basis, we saw five of our seven reported regions post positive growth during the quarter. Our two strongest regions were the Midwest, up nearly 15%, and the West, up nearly 8%. Both of these areas were among the fastest growing regions in each of our three product categories. The Midwest benefited from 2017 storm activity in areas including Denver and Kansas City, which were more than offset by a second consecutive mild winter. Within our West region, Southern California showed a strong recovery, fueled by deferred winter work and strong reroofing activity following the heavy winter rains. We had anticipated this would occur and mentioned it on our last earnings call. Our two softest regions were the Southwest and Canada. Our Southwest region had a sales decline of 7.9%, reflecting difficult year ago comparisons tied to hail damage in Texas. As a reminder, our third quarter last year increased 46% in the Southwest. Storm work from last year's North Texas hail events has continued to aid demand with the area experiencing further hail damage from spring 2017 storms. However, we expect the year-over-year comparisons in the Southwest will remain difficult during the coming quarters because of the expansive nature of last year's hails damage. Canada saw a 16.2% sales decrease during the quarter. Eastern Canada in particular is being negatively impacted by a variety of factors, including heightened competitive pressure, more limited larger project work, and the two key weather related factors mentioned earlier, increased levels of rain and two consecutive mild winters. Weather occurrences are certainly not indicative of the overall health of the roofing market, as I alluded to earlier, which we are confident remains very strong. And as I said, they're short-term in nature, and we can have a quarterly impact that we have seen and stated previously. Despite these impacting items, we still delivered positive organic growth, sequentially up pricing, sequentially up GM, and record adjusted EPS. Those indicators tell the story of our performance. For July, we ended with organic daily sales of approximately 5% up year-over-year, representing a good improvement versus our growth rate in Q3. Even better when considering the first week of the month was impacted by a Tuesday holiday, which made for a slower first week than the balance of the month. We remain optimistic that July's improved revenue trend will accelerate modestly into August and September, given the pent-up demand and the easier multiyear comparisons. In terms of gross margins, we ended Q3 with gross margins of 24.5%, flat versus the third quarter of 2016 and that level is in line with expectations. Existing market gross margins declined modestly year to year, reflecting competitive pricing pressures in certain softer demand markets, as well as difficult comparisons with the year ago Texas storm demand. We are very pleased with the gross margin outcome, as I said prior, the result of our successful pricing and procurement efforts, particularly in light of the softer sales and demand environment than we had originally anticipated. We are also very proud of our SG&A performance in the quarter. We had previously expected to generate favorable operating leverage during the second half of 2017, but had targeted this largely as a function of the mid to high single-digit organic sales growth. Even with the top-line shortfall, we were able to drive favorable leverage both within existing markets and for the company as a whole. Joe will discuss more detail during his portion of the call. Now few comments on greenfields and acquisitions. First let me start with greenfields. We've now opened four branches year-to-date, through the first half of fiscal 2017 we had opened two locations. In addition, we opened one branch in the third quarter in our mid-Atlantic region and a fourth branch in Canada during July. At this point in the year, we can say we will end the year with a five to six new branch openings. And as we've stated in the past, we will continue to balance our branch opening plans with acquisitions. I also want to reiterate that growth by acquisition remains a key part of Beacon's long-term strategy. In the current fiscal year, we have completed five acquisitions for a combined sales run rate greater than $130 million. As a reminder, in 2016 excluding the RSG purchase, we completed another seven acquisitions with approximately $200 million in annual sales. Our acquired company results clearly demonstrates the quality of earnings they have brought to Beacon, very strong gross margins and operating income. It's worth noting that even with this robust acquisition activity since the RSG announcement in 2015, our net debt leverage ratio has been reduced from 4.5 to 3.4 times. We are proud of this solid performance as we continue to grow. And lastly, I want to provide you an update on current market conditions with our Q4 and 2017 guidance expectations. As you know, suppliers in both residential and non-res sectors have announced multiple price increases during 2017 in response to upward cost pressures from rising raw materials. While our Q3 pricing to customers and our Q3 product costs from suppliers remain flat to modestly down year-to-year in our roofing segments, we did see low single-digit price increases go through in our complementary products category. In certain regions of the country, mostly in strong demand areas, we have seen positive pricing across our roofing categories as well. Most recently, several vendors have attempted to pass through low to mid single-digit price increases in residential roofing and in other products, and market acceptance of these higher prices remains uncertain at this point. And as always, we'll continue to monitor this as we balance our end market pricing with our organic sales growth plans. Now I would like to turn your attention towards our 2017 guidance. We're adjusting our 2017 expected revenue growth range from 6% to 9% to 5% to 6%, reflecting a narrowing of expectations and a move towards the lower end of our previous outlook. Essentially, this new range adjusts for the lower than expected Q3 sales rate, which as discussed, was driven by the higher rain and more limited re-roof work tied to the milder winter weather. While we expect a more normal rainfall impacting Q4, we anticipate the drag effect from this past winter will continue in certain Northern markets, reducing our Q4 sales outlook slightly from prior expectations. But again, as I said, this becomes also deferred work that we will see as we move into the future. Our organic growth outlook for the full year is 2% to 4% on a daily sales basis. Our daily sales guidance was 4% to 6% following Q2 of 2017. This implies an organic daily sales rate of approximately 7% in Q4. As discussed previously, we're off to a strong start in the month of July and expect August and September growth to accelerate further. We also believe comparisons the next several months should prove more favorable than both Q3 and the July month. In relation to my pricing commentary earlier, our updated revenue assumes the latest round of manufacture price increases do not hold in the marketplace, meaning we're taking a mid-line view of the pricing dynamics that are still unfolding and we think that's a prudent approach. And given our reduced revenue expectations, we now expect adjusted full-year EPS to be between $2.15 and $2.25. And Joe will go through the complete walk and the details of this for the balance of the year in his portion. As stated, we believe the Q3 sales shortfall and our modest reduction in Q4 revenues resulted from unique weather events. Assuming normal conditions in 2018, we would anticipate a related revenue improvement in these impacted geographies, and in part, as I mentioned a few times, because of the deferred work. Nonetheless, we're still very pleased with our solid overall results, gross margin performance and operating cost controls, despite the competitive end market demand environment. With that, I will turn the call over to Joe for additional color. Joe?
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Thanks, Paul, and good afternoon, everyone. Now I'll highlight a little more detail on a few key financial results and metrics that are contained in our earnings press release and the third quarter slides that have been posted to our website. In my prepared remarks, I will go into greater detail on gross margins, operating expenses and key balance sheet metrics. We're very pleased with the operational execution by our teams, with our third quarter gross margin and operating expenses shining a positive spotlight on this performance. Existing market sales growth increased a solid 2.2%, and that's on top of a prior year 8.7% existing markets growth rate, although this is lower than expectations due to unfavorable weather conditions. For the quarter, we reported adjusted EPS of $0.84, which compares favorably with the adjusted EPS of $0.77 in the prior year. Our third quarter adjusted EBITDA increased to a record $120 million from $109.6 million, with adjusted EBITDA margins improving 38 basis points year-to-year. Regarding our monthly sales trends, Q3 had the same number of selling days, 64, as in the year-ago period. Paul's already discussed our third quarter revenues by geography and business line, but I'll provide an overview of our monthly organic sales trends. April daily sales increased 2.8%, May increased 4.8%, and the June month declined 0.9%. Multiyear comparisons were particularly difficult during the June month for residential roofing, as the previous two years had seen 30% cumulative growth. In addition, the June month experienced the greatest weather disruptions during the quarter. Our complementary products category posted consistent performance each month during the period. Paul commented earlier on the July month, but I did want to draw further attention to the fact that the heavy rains that negatively impacted June have also limited available workdays for our customers in July. Many of the same regions in the Eastern and Northeastern parts of the United States and Canada, which were negatively impacted in the third quarter have also been affected in July month. This is why we're particularly pleased to see the stronger underlying growth trend in July. Now moving on to gross margins. As Paul highlighted, we are happy with the stability shown in our underlying gross margins, particularly given the increased competitive pressures in certain geographies. In fact, this represented the highest third quarter gross margin of any during the past five years. Gross margins came in at 24.5%, up 6 basis points compared with year ago levels. And within existing markets, gross margins declined a modest 13 basis points. Gross margin was largely in line with our expectations and The Street. Similar to recent quarters, favorable mix shift aided overall gross margins. Residential roofing represented 55% of sales, non-residential roofing was 28% and complementary 17%. Direct sales represented 14.9% of sales compared to 16.3% in a comparable year ago quarter, which also contributed to our positive margin performance. Company-wide selling prices and product costs were essentially flat versus last year. Roofing product pricing declined less than 0.5% in the quarter, both residential and commercial roofing products has seen steady improvements the past five to six quarters. In fact, our residential roofing prices increased over 120 basis points sequentially from Q2. Product costs and roofing have closely mirrored our pricing which has helped Beacon maintain solid gross margin performance. By comparison to roofing, complementary products have experienced 2% to 3% increases in both pricing and product costs as this area is experiencing greater inflationary pressures, which we have been able to pass through to customers. Now, moving onto operating expenses. Total operating expenses were $212.9 million, or 17.5% of sales, excluding the non-recurring cost of $9.9 million (22:20-22:27) third quarter adjusted operating expense of $195.8 million, or 17% of sales. The $9.9 million of non-recurring costs includes $7.9 million additional amortization for the acquired intangibles from the RSG the acquisitions and $2 million of other non-recurring charges associated with our acquisitions. As noted on slide five, existing market operating expenses were $200.9 million for the quarter. When adjusting for the outlined non-recurring charges, our adjusted existing market costs were $191 million, or 16.4% of sales. That represents an improvement of 54 basis points over the year earlier. Adjusted existing market SG&A actually declined $2.1 million year-to-year despite higher variable cost tied to our existing market sales growth and growth in the fixed portion of our overall expenditures. Several factors contributed to our exceptional existing markets operating cost performance. Bad debt expense declined $4 million year-to-year. Approximately half of this improvement reflects the easy comparisons as existing market allowance for uncollectible accounts had increased $1.9 million in last year's comparable quarter. While the remainder reflects a reduction in our reserves attributable to our strong collections discipline in the fields; lower amortization expense after removing the RSG step-up amortization, our existing market intangible amortization declined $1.2 million versus the year ago period. This results from accelerated amortization schedules on our older acquisitions. And last, beneficial compensation accrual adjustments as we trued up our year-end incentives to our current results. Interest expense and other financing costs increased from $12.2 million to $13.4 million in the current period. Adjusted for one-time costs would result in a more modest expense increase from $11.8 million in the year-ago quarter to $12.2 million in the current quarter. The increase is due to higher debt position primarily as a result of our recent acquisitions, combined with our seasonally higher working capital requirements. The increased borrowing levels were partially offset by our refinancing of our term loan in September of 2016. Our effective tax rate for the quarter was 37.5% on a GAAP basis and 37.7% on an adjusted basis, which is in line with our expectations. We anticipate our full year fiscal 2017 tax rate will be 38% to 39%. In addition, we anticipate tax savings of approximately $15 million related to the RSG acquisition, which will lower our fiscal 2017 cash tax rate into the low-30%s. Our net income for the four quarter was $44.7 million, or $51.4 million on an adjusted basis compared to an adjusted profit of $46.6 million in the year-ago period. Diluted EPS was $0.84 on an adjusted basis compared with an adjusted profit of $0.77 in the year-ago quarter. Adjusted EBITDA for the quarter was $120 million, representing 9.9% of sales compared to $109.6 million in the prior year and 9.5% of sales. We posted modest organic sales growth and benefited from strong operating margin performance. Next, I want to spend some time talking about our cash flows and balance sheet. As noted on slide 6, year-to-date cash flow from operations has been solid at $74.2 million, essentially flat with the year-to-date comparable cash flow in 2016. Additionally, we also measure and track our performance in key areas such as inventory, AR and AP plus overall balance sheet metrics around working capital as a percentage of sales as shown on slide 7. Total inventory turns were 4.6 times in the quarter versus 4.8 times last year. Inventory turnover has been a key metric for us, and we've steadily improved during the past several years. Q3 turns were slightly lower than expected as a result of two primary factors; first, the inventory related to the acquisitions made during the year; and second, approximately half of the sequential inventory build was concentrated in our mountain and deep South regions corresponding with anticipated Q4 storm demand in those states. Our accounts receivable days sales outstanding was largely unchanged, declining from 36.3 days last year to 36.2 days in Q3. Our working capital increased to $885 million at quarter-end from $721 million in the comparable quarter a year ago. As a percentage of revenue, average working capital increased to 18%, due primarily to higher inventory levels coupled with the timing of our purchases. Year-to-date capital expenditures were $31.9 million compared to $21.6 million the prior year. If you recall, the year-ago CapEx comparisons are somewhat distorted as we had put new capital spending on hold until we had a complete grasp of our fleet needs following the RSG acquisition. For the full year, we now see capital expenditures at 0.8% to 0.9% of sales, slightly lower than our previous expectation. Our debt leverage ratio was 3.4 times. While this increased sequentially as it normally does during the seasonal period with higher working capital requirements, it is still down nicely from 3.6 times in Q3 of 2016. Now turning to slide 8. I want to walk through our expectations in more detail. As Paul mentioned, we are narrowing our fiscal 2017 sales growth expectations from 6% to 9%, to 5% to 6%. Our updated revenue outlook adjusts the year to reflect our actual third quarter revenue and a modest reduction to our Q4 revenue picture. For Q4, our organic daily sales guidance is for approximately 6% to 8% growth. Remember, there is one less selling day, so 63 days versus 64 days in the comparable year-ago quarter. In addition, we expect acquired sales to add approximately 3% to sales growth. So collectively, we are anticipating a Q4 (29:02) company-wide sales growth range from 7% to 10%. We see an acceleration in the fourth quarter existing market sales for several reasons: strong underlying residential market trends and easier complementary product comparisons; benefits from the Denver hailstorms which realized only one month benefit in Q3; a stronger start in the July month, despite a continuation of heavy precipitation in many markets and the unfavorable timing of the July 4 holiday; easier multi-year comparisons in the August and September months; and a continued favorable move in product pricing. We are now projecting 2017 full-year gross margins at 24.5% to 24.6%, which are levels in line with fiscal 2016. As we have said throughout the past six to nine months, the fourth quarter comparison is particularly difficult with Q4 2016 representing the highest gross margins of any quarter (30:07) dating back to our IPO. We're comfortable with a solid fourth quarter 2017 gross margin but anticipate results closer to 25%, levels that still represent one of our stronger quarterly performances. For the 2017 year, we're moving our adjusted EBITDA range or guidance to a range of $360 million to $370 million. As of the third quarter, we expect to again generate positive operating cost leverage during Q4. Our Q4 and 2017 EPS commentary continues to be centered on adjusted EPS. And as Paul mentioned, we're targeting an updated range of $2.15 to $2.25. This will exclude the three major items we've noted throughout 2016 and 2017: non-recurring charges, certain amortization for acquired intangibles, and deferred financing charges. Slide 10 reiterates our investment thesis that we discussed at our Investor Day. And with that, I'll now turn it back to Paul before we take your questions.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Thanks, Joe. Just a little bit of a summary before we go to Q&A. All in all, a great quarter; record sales, record EPS, record EBITDA, positive growth, great resi growth, great complementary growth, and solid organic growth given the weather situation, which I talked about, and this deferral that we will see in the future. We remain confident that the roofing industry is in the midst of a multi-year upturn in demand and that we are well positioned with our national footprint and talented team to benefit from this improvement, as well as from our internal growth initiatives. We have a great market, a great footprint, a great team, and a great future. With that, I'd like to turn the call over to the operator and open things up for the Q&A portion of the call. Thanks.
Operator: Your first question comes from the line of Bob Wetenhall from RBC Capital Markets. Your line is open.
Michael Eisen - RBC Capital Markets LLC: Good evening, gentlemen. This is actually Michael Eisen on for Bob tonight. Just a quick question on the non-residential segment. You guys are looking for an inflection point, talking about returning to growth moving forward, but also highlight some competitive market conditions. Where are you guys seeing strength and what gives us confidence in kind of reverting back to that prior levels of growth?
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. Well, we have a history of pretty consistent commercial growth. If you look at last year, there's no doubt with a milder winter we had some pretty heavy growth that pulled forward a lot of demand, and then even this year beginning of the year we had mild winter. I think the bulk of our pain has been seen in these Northern markets. We've seen a lot of strength down South, Texas market, et cetera. I think just given the talented team we have of sales folks, product managers, and then the balance we have with achieving sales growth along with our margin goals leads me to believe – and bumped up against the comps coming up that we'll start to see growth again. And I said it on the last call, this – of course, we watch everything with a very keen eye. But to me this is not concerning. This is the beauty of having three big product lines. So we have many arrows in the quiver, so to speak, as we deal with our resi growth, the complementary growth, and then even within complementary, many sub-buckets, and then commercial. So I think we've been pretty prudent about how we attack the commercial market in conjunction with some of the weather-impacted issues we've seen, meaning we're just not going to go bomb price to get work. And we've been able to balance that with these other product lines. And I think in time, I'm very confident, I have no concern at all because I know all the internal initiatives we have going on that this is going to return to our normalized growth rates.
Michael Eisen - RBC Capital Markets LLC: Awesome. That's very encouraging. And then if I could just get a quick follow up. Just thinking of kind of the pace of M&A that we've seen from you guys historically and where we are today, I was hoping you guys could touch on what kind of product segments you're seeing the best opportunities for? What the pipeline looks like for M&A? And how we should think about growth across the product lines?
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes, very good question. I alluded to a bit in my prepared remarks. I mean we've said it every quarter I think since I've been here, which is going on 10 years, and it's true. Our pipeline is very full. It's very active. We have a number of folks working on potentials, and they really run the gamut of all the product lines. I think maybe one of the questions some of you folks might have is, geez, these last few acquisitions have been complementary in nature, but it goes back to, again, what I've said. It's hard to predict when sellers are going to sell. And when we see a good company and it fits our profile from a product line standpoint, I mean, we're going to go ahead and do what we need to do to bring it into the fold. And if you look in the Q and our acquired segments for the results, you can see those acquired businesses, right, many of them complementary in the gross margin result for the quarter and the operating income result even with the impact of purchase accounting when you read the Q. Very, very encouraging. Close to 30% GM and then over 5% operating income in the quarter. And that's with that purchase accounting impact. So I think the short answer is it runs the gamut of who we're talking to, and it really just depends on the timing of when they come up, as it has since Bob started with acquisitions years ago.
Michael Eisen - RBC Capital Markets LLC: Appreciate all the color. Thanks and good luck.
Paul M. Isabella - Beacon Roofing Supply, Inc.: You bet.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Thank you.
Operator: Your next question comes from line of Phil Ng from Jefferies. Your line is open.
Philip Ng - Jefferies LLC: Hey, guys. Heading into the year, you obviously had some concerns around the level of storm demand last year being elevated. Just given the strength you're seeing in residential and your guidance thus far, has the upside been driven by more storm activity again this year or some reroofing or new construction? Any color would be helpful.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes, there is no doubt, I'll go back, right. Last year was an interesting year. The industry data we've seen is in this $130 million range, right, from 2016. The view now is that it could end very comparable to that last year. Last year there was extremely heavy Texas storm base, not just Dallas-Fort Worth but down in San Antonio with some major storms. There is activity in other parts of the country but that was the majority. This year has been a little different. As I said in my prepared remarks, we've continued to see a bit of that 2016 storm hangover from, goodness, in Dallas. They got hit again, not as heavy, earlier this year. But then we've also seen activity in the Upper Midwest or the Midwest call it, we referenced KC and then Denver got hit a few months ago. So I think there's been more balance. There's been actually some in this Mid-Atlantic region here in the Virginia area that we're capitalizing on, right. So I think it's just more balanced and it's probably in total is going to be close to last year's storm volume, and that gets us to that similar year-over-year square count that the industry is referencing right now or at least the dialog is. We still have to get through the balance of calendar year, right. But those are the projections right now.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: This is Joe. The other part that I would add too, as we've said before, last year wasn't necessarily an anomaly. The years before were really soft and lower in regards to the storm volume. So what you really saw last quarter and last year was more normalized and this year seems like it's coming again. Different view, as Paul said, more widespread, but little bit more of a traditional level.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yeah, and I think to Joe's point, it's even more normalized because it's in other locations other than one big state, which is phenomenal because we have a great presence in Dallas-Fort Worth, San Antonio, Boston, et cetera, and Houston, right. But we're seeing actually a more normal from a hail impact. Now what we haven't seen and we've referenced is the fact that we've had two milder winters in our Northern climates, including Canada, obviously, Northeast, Upper Midwest, which impacts work going out further. I think we had maybe underestimated that a bit at the beginning of the year but now you definitely can see it, our teams are seeing it, and it forces us to dig deeper to find work in those areas, right. But that again will be part of the cycle of what I'll call a deferral of this high R&R because at some point you know we're going to have either really bad weather or these roofs are just going to fail anyways, no different than as we talked four or five years ago about pent-up resi demand, which we now think is pretty much normalized. And we're sorry to see this outflow, including storm repair work as well as new construction, come out.
Philip Ng - Jefferies LLC: Got you. That's all really positive. I'm surprised from a pricing standpoint you still have reservations. I guess what's the pushback on pricing just given the strength you're seeing?
Paul M. Isabella - Beacon Roofing Supply, Inc.: First, I'll just say, there's always a balance of achieving sales goals with pricing in any market. We still continue to be very locally based in terms of allowing our branch managers and sales reps to lead the charge because they're extremely skilled, right. And we have a lot of competitors, I mean we know we're still consolidating the industry. We believe we are one of the leaders in that consolidation, and that's going to take a bit. And, in the meantime, there's still competition out there that we have to keep a mindful eye to, and that's really what we see and believe on the pricing side. Now the good news is we've seen some sequential goodness. We've seen the flattening and then in some of these higher demand areas, specifically Denver, et cetera, we've seen some positive growth. So I think it's just not us being cautious but just trying to forecast what potentially can happen as we move out. And all these things, as you know, are very difficult to put a very tight forecast to for the obvious reasons.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: And, Phil, the piece that I would add as well, too, and I know you track all this stuff in detail. If you look at that quarterly trend over the last eight kind of quarters or more, you're seeing a great pricing movement on it, right. So on sequential basis we're up almost 100 basis points, on the residential side 120 basis points from last quarter, and if you look year-over-year, that spread has been kind of getting smaller and smaller. So the good news is, is it does appear the prices are all moving in the right direction as we had talked about. So we're starting to get some price.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. And part of that I think is what you see and many of you know and you've referenced it, in deflationary times it's harder. And now we're seeing – and the manufacturers, no doubt you've listened to the other calls recently, they're seeing raws going up and that just substantiates the fact that we're going to see more pressure. They're seeing the pressure. We definitely want to push price through, no doubt, we do. And I think it gets easier as inflation pops up a bit from the manufacturing side. It's just being prudent with the organic growth piece vis-à-vis the input costs.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: And so far we've managed it...
Philip Ng - Jefferies LLC: That sounds fair.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: ...quite well.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. Great.
Operator: Your next question comes from the line of Ryan Merkel from William Blair. Your line is open.
Ryan J. Merkel - William Blair & Co. LLC: Hey. Good afternoon, everyone.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Hi, Ryan.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Hi, Ryan.
Ryan J. Merkel - William Blair & Co. LLC: So coming into the quarter people were worried about negative price/cost. And from what I can tell, you had flat roofing COGS and you had flat pricing. So gross margins really didn't get squeezed this quarter. Did I hear that right?
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Exactly. That is a really key point through it all as well, too. That was a big kind of concern going into it. We've said how we had begun to see that pricing loss shrink. It continued to shrink, sequentially 120 basis points in residential better, and that whole cost/price thing kind of went away, and that's why our margins pretty much were not impacted. So you're right. Good observation. Correct.
Ryan J. Merkel - William Blair & Co. LLC: And how did you hold roofing COGS flat, because the OEMs have put through two increases? So either you're not paying them, or it's a timing issue and that's going to roll through the P&L in a quarter or two, right.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. I won't get into too much detail other than to say our input costs are pretty varied when you think about it, right, are regionally based in some instances, multi-manufacturer based in some instances, and we have a very good one relationship with those manufacturers, and we have a great purchasing group. And I think we're able to diffuse that and that's what you see as a result. So there's no future negative that you're going to see, right. It's really a function of how we do our jobs and whether it's OC, I know who publicly reported and made comments. I mean they're a piece of our input costs. And then there's a lot of variations to that input cost all over this country, right, for various reasons: strength, size, whatever it might be, right, timing. That really is...
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yes. The other part I would add on the accounting element side of it, so as we use a weighted average cost approach for our inventory and for our cost of goods sold valuation, not a FIFO-type basis. So it's not the oldest cost. It's an average of them. So if there were price increases, you'd already be seeing them in there as it goes through it as well, too.
Ryan J. Merkel - William Blair & Co. LLC: Okay. And just quickly if I could. In quarter residential was up 5%, non-res was down 5%, but margins were flat year-over-year. But the mix should have pushed the margins up because there's a big (45:23) difference. So why were the margins flat? What was the offset, I guess?
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yes. The margins did – you're right, we did get a benefit on the mix part of it, but the mix impact on the overall gross margin piece gave us probably about maybe 30 basis points. A lot of our overall gross margin gain from the acquisitions was a big win for us. We got almost a 20 basis-point improvement from the acquisition side of it. So in total, that flattened gross margins. We lost around 15 basis points on price, 30 basis points on cost, mix part of it, about 26 basis points favorable, and acquisitions about 21 basis points favorable. So it was the mix piece favorable and the acquisitions. Those were the two that helped to offset a bit the price and cost. But still, when you're talking 15, 30 basis points, they're all pretty much flat.
Ryan J. Merkel - William Blair & Co. LLC: Okay. Helpful. Thank you.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yes.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. And again, I'll just comment. I think that's again, it's worth repeating. Of course, we'll take that because it speaks to the strength of the companies that we've have acquired, right, and their strong gross margin vis-à-vis their position in their markets and how they go to market even so quickly after coming into the fold. So that's very good news for us.
Ryan J. Merkel - William Blair & Co. LLC: Okay.
Operator: Your next question comes from the line of Keith Hughes from SunTrust. Your line is open.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Thank you. In your guidance you talked about, the revenue guidance, you talked about not assuming that you get any – I assume you meant residential roofing pricing in the fourth quarter. Are you assuming that your input costs in residential roofing go up in the EPS guidance?
Paul M. Isabella - Beacon Roofing Supply, Inc.: Can you repeat that one more time? You were kind of breaking up a bit. Do we assume that what costs go up on the roofing?
Keith Hughes - SunTrust Robinson Humphrey, Inc.: I'll just say it again. So you had said in your revenue guidance for the remainder of the year, which is the fourth quarter, that you were not assuming that your pricing and residential roofing went up. I think that's correct. Are you assuming that your input costs on residential go up in your EPS guidance for the fourth quarter?
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. There actually is a slight improvement in our pricing in the fourth quarter. Just like we've seen every quarter, the pricing has gotten a little bit better. So there is a slight improvement in the pricing implied in our fourth quarter guidance piece. That's probably what's driving the gross margin impact that you're referring to, the quarter-to-quarter, third to fourth.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: But are you assuming that your roofing, your residential roofing input costs go up in the EPS guidance for the fourth quarter?
Paul M. Isabella - Beacon Roofing Supply, Inc.: No, we're not.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: You're not assuming it goes up? Okay. Okay. And one other question. Turning to commercial, do we have the same kind of situation going on there at commercial with limited price pass-through but input costs being up? Did I hear that correctly?
Paul M. Isabella - Beacon Roofing Supply, Inc.: The commercial part, again, was pretty much a wash on price and cost as well, too. So on the commercial piece, the price impact and the cost just about washed each other as well, too, in there. So it was very interesting. Across commercial, residential, and complementary the total (48:38) change in each of them from a year-over-year was pretty much flat. I mean less than 10 basis points. Price/cost was parity in all three.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: And we've had four quarters of negative comps organic growth in non-residential that we'll be past that after this report. Just on a comp basis, should we assume volume is up in the fourth quarter in non-residential?
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes. We had said mid-singles. Yes.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yes.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Mid-singles. And where do you think the market has been growing? Is there any way to tell?
Paul M. Isabella - Beacon Roofing Supply, Inc.: It's very difficult for us to get market data. Carlisle had talked about the range of mid-singles, maybe even slightly higher. But again – and I won't comment on their results or even their commentary. I know you are a student of that. My view is that the market is in the 3% to 5% growth range going forward. So for us, given the comps and given where we've come from, although part of that, too, is the fact that we had some pretty big growth in the winter quarter last year, right, that pulled a lot of work forward. That mid-singles for us I think is a good number for Q4.
Keith Hughes - SunTrust Robinson Humphrey, Inc.: Okay. Thank you.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Thank you.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group. Your line is open.
Kathryn Ingram Thompson - Thompson Research Group LLC: Thanks for taking my questions today. I will shift from margins because I know we focused a bit on that in the Q&A to the top line. Could you give additional color in terms of regional trends? Also, an update on your complementary product rollout, where it stands today in terms of the dollar amount and are you still on target for seven to eight greenfield opportunities this year? Thank you so much.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yes, I'll give a little bit on the greenfield one, and then Paul can talk about some of the by-region elements to it. But on the greenfield perspective, we've gotten four open so far and there is a couple more that are in the queue yet for the quarter. So we won't get to the 10% range, but we'll probably get to the 5%, 6% range for the full year when we go through them. As you know, we balance those for the most part with acquisitions. The Lowry's acquisitions will keep us busy here for a bit, and as Paul mentioned, our acquisition funnel is still quite full, working through some other items there as well too. That gives you the greenfield view on it.
Kathryn Ingram Thompson - Thompson Research Group LLC: Great. Thank you.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yes, and from the growth perspective on the reported regions, as you look at the organic piece of the 2.2%, the 5.5% on res, negative 5.3% commercial and then make up 6.3% on complementary. It was a bit of an interesting mix. Now the Northeast was up 1.5 point or so. Mid-Atlantic, a couple of points. Southeast 3. I mentioned in my prepared remarks Southwest was down nearly 8% in the Midwest, those two I mentioned specifically up 15%. The West up 8% – I'm sorry, I also mentioned the West, Canada down 16%. So that's kind of the lay of the land in total. Res, it was similar. And then on the commercial side, we saw a lot of pain in the northern climates, like Canada being down almost 27%, the Northeast being flat, the Midwest being down and the mid-Atlantic being down almost 13%. So it's kind of varied as you go through the regions.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: The other item, just to pick up in regards to complementary as well too, Kathryn, we've seen really strong consistent growth on the complementary side. And that's been all part of our focused effort initiatives to really drive more of the complementary business. So we haven't been surprised by it. In fact, we think it will continue. In fact, in addition to that organic growth that we talked about, the acquisitions at $36 million of acquisitions – looking at the numbers, of the $36 million, probably more than two-thirds of it was complementary related business as well, too. So good strong in complementary should continue to see that growth rate be high.
Kathryn Ingram Thompson - Thompson Research Group LLC: Great. Thank you so much.
Operator: Your next question comes from the line of Luke Junk from Baird. Your line is open.
Luke L. Junk - Robert W. Baird & Co., Inc.: Good afternoon. First question, great to hear that we're seeing some positive prices finally on shingles in certain markets. What I'm wondering is, are there any dynamics in those markets that would help to explain better pricing traction in certain geographies to the exclusion of others? Or would you say this is just demand related in which case, this could be a precursor to more broad price improvement across the country?
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yeah, Luke, the one part that I would add is, like we've seen in prior quarters. When we drill down on that price change by all of our regions and markets, we see a combination of some up, some down, some flat. The common characteristics, which is what you're getting at, is primarily all demand driven where we see the largest kind of price increases. So we have several of our regions that have had significant year-over-year price increases across various categories. But it's really where the demand is there. It's been a lot of our storm related or high demand marketplaces. That's where we get the price, and that seems to be the biggest underlying characteristic, that's the similarity across all of that.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Very consistent actually.
Luke L. Junk - Robert W. Baird & Co., Inc.: Okay. Helpful. And then if I can just sneak in a follow-up, I don't know if anyone's asked, so I guess I will ask the obligatory acquisition question, knowing that you can't predict anything, but just a general tone of the pipeline in discussions right now?
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yeah. Luke, it's really the same, As I referenced earlier, the pipeline is full, as it has been. We're very active in talking to various companies really that represent all of our major LOBs. And as it always has been since I walked in the door. And prior it's really a function of when they're ready to sell, right. So we're patient, and again, I will reference as evidenced by our acquired results, we're very selective, right, in the companies we talk to. So we're optimistic as we have been because we know and believe we have the recipe to pull in great companies.
Operator: Your next question comes from line of Garik Shmois from Longbow Research. Your line is open.
Garik S. Shmois - Longbow Research LLC: Thanks. Thanks for squeezing me in. I'm just wondering on non-res, appreciate the color on the fourth quarter and the expected ramp, but I think this year's certainly been weaker than you had expected in the quarter, have been as well. I think you're baking on some projects coming in, particularly in the second half of the fiscal year, and that was going to drive your prior guidance that was positive. Just wondering where that stands as far as your visibility in non-res is concerned? And the comfort that we have that you're going to be able to grow in line or a little bit better than the market?
Paul M. Isabella - Beacon Roofing Supply, Inc.: That's a really good question, because I asked that about every week, maybe every day. The field teams are very positive about the commercial backlog they're seeing, right. And a lot of it, as I said and referenced has been pushed. I hate to use the word deferred for the eighth time on this call, but a lot of that work has been pushed and deferred. And so now the question ultimately is with the 60-odd days left in the quarter, are we going to get it all in? I mean, we're definitely positive about what the backlog is. And we know the impact items, they're real. The two winters in a row that were very mild has an impact, because it just does not wear down roofs, no different than any other heavy rains, UV damage, or hail damage. So we're pretty positive. The teams in the field are pretty positive. And what's interesting, and I've referenced this a number of times, our heavy commercial regions, besides California, are in the upper Midwest, upper Northeast, even the mid-Atlantic, which have been impacted by this. And that's where we're feeling we're going to have some better results as we move forward.
Garik S. Shmois - Longbow Research LLC: Okay. Thanks. And then just a point of clarification, just on the slide deck, you indicate the headwinds for fiscal 2017 margin expectations being the isolated competitive pressure. Just wanted to be clear on this, we've had a lot of discussion about margin expectations and input cost expectations across the different categories. Is the isolated competitive pressures, would you characterize that as broad based, we're in a competitive environment? Or is this really just targeted to incremental competition on the non-residential side?
Paul M. Isabella - Beacon Roofing Supply, Inc.: So as we think about it, it's more of focus within specific markets. It's not a broadband competitive pressure across all. As we talked about with pricing, the part that's interesting, pricing in the high demand areas, we get good pricing in it. It's really just in certain specific areas where there's a heightened amount of competition, or a post storm, or others where it has an impact, isolated.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yes. You got it.
Garik S. Shmois - Longbow Research LLC: And that can encompass whether it's residential or non-residential or complementary?
Paul M. Isabella - Beacon Roofing Supply, Inc.: It'd be both.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: That's right. It's the same.
Paul M. Isabella - Beacon Roofing Supply, Inc.: It's the same. It's always a function of how busy is that city, town, whatever it might be, or region? How much competition? Who's aggressive? Who isn't? Our position? It's very focused on local markets.
Joseph M. Nowicki - Beacon Roofing Supply, Inc.: Yeah.
Operator: That concludes the questions. Now I'd like to turn the call back over to Mr. Isabella for his closing comments.
Paul M. Isabella - Beacon Roofing Supply, Inc.: Yeah. Just a very short wrap. I just want to thank everybody for joining the call. And as always, we appreciate our investors' interest, our customers' business, and of course, our employees' dedication. As I said, we're in a great market. We have a great business, and we're very, very positive about the future and what the future holds. And as always, we look forward to speaking to you again on the next call. Have a great evening.
Operator: This concludes today's conference call. You may now disconnect.